Yuan Siong Lee: Good morning, everyone, and welcome to AIA's 2020 Annual Results Presentation. Let me start by saying that we hope that you and your families are safe and well. I am immensely proud of our outstanding employees who have worked tirelessly to provide continuous support for all of our stakeholders. Thanks to their efforts, we have delivered a strong performance in unprecedented conditions. 
 Let me begin with the key financial highlights. While VONB was affected by the pandemic, we saw a strong recovery in new business sales as restrictions eased, and we delivered growth in all our other key financial metrics. Operating profit after tax and underlying free surplus generation were up, supported by our high-quality recurring sources of earnings. We reached record highs in both EV equity and shareholders' allocated equity. And the Board has recommended an increase of 7.5% in the final dividend. These results demonstrate the strength of our operating model, the quality and resilience of our people and our disciplined financial management. 
 As I said, we achieved very strong VONB momentum as pandemic restrictions eased across our markets. Mainland China was the first to enter lockdown in February, and lockdowns generally peaked in the second quarter for the rest of the group. Border restrictions effectively stopped sales to Mainland Chinese visitors in Hong Kong from early February. As you can see, we have delivered very strong VONB momentum across the group as restrictions were eased. And our business in Mainland China became the largest contributor to VONB in 2020. This broad-based momentum has continued into 2021 with very strong VONB growth from AIA China and 15% VONB growth for the group in the first 2 months of the year. 
 Our rapid adoption of new online capabilities helped maintain business activity even during the strictest of lockdowns. We introduced remote sales completion for all distribution channels across all markets and launched streamlined online services for customers. The use of remote sales has tracked lockdown severity, and 95% of all new business in 2020 was submitted digitally. We moved our agency recruitment onboarding and training online, holding more than 20,000 virtual recruitment seminars, and new recruits grew by more than 20%. 
 Automation and digitalization have significantly enhanced customer experience and straight through processing is now used for close to half of all our buy, service and claim journeys, well above global industry peers. For our customers, we extended free COVID-related cover to more than 25 million policies and provided $1 billion of premium support across 12 markets. Over the year, we paid more than $16 billion in benefits and claims, providing essential financial protection when it is needed the most.  
 While 2020 was an unprecedented year, it has made me even more optimistic about the prospects for the life and health industry in Asia and the future of AIA. The growing need for our products, services and high-quality advice has never been more evident than it is today. Nowhere is this more apparent than in Mainland China, where AIA has a unique opportunity with enormous potential for growth. Our customers make up less than 2% of the middle-class population in our existing geographies. And as we expand into additional provinces, our potential market quadruples. 
 2020 was a landmark year as AIA became the first foreign company with a wholly owned life insurance subsidiary in Mainland China. We are making excellent progress in Tianjin and Shijiazhuang and significantly expanded our Premier Agency through quality recruitment, driving strong VONB growth. We have received approval from CBIRC to prepare our newest branch in Sichuan, the sixth largest province by GDP, and we are at a very advanced stage. 
 Our 100% ownership and differentiated primary agency strategy delivers strong and sustainable results, allowing AIA to fully capture the extraordinary opportunities available to us in Mainland China. AIA has many significant advantages across the region that distinguish us from our competitors. We have an unparalleled platform in Asia, built over many decades, with 100% ownership in almost all of our markets, singularly focused on the world's most attractive region for life insurance. For more than a century, AIA has made a positive lasting impression on the lives of our customers. As a lifelong partner, we are committed to our role in the transition to a better, more sustainable future.  
 The pandemic has further highlighted the significance of ESG issues. AIA ranks second globally in our industry for ESG. Yet we know that there is more that we can do in this important area for our communities. Our people are the group's key competitive advantage and the foundation of AIA's success. I am extremely proud of how they have responded in a rapidly changing operating environment, helping our customers navigate uncertainty, while accelerating our strategic plans. 
 In 2020, AIA has delivered another strong performance with VONB momentum continuing into the beginning of 2021. 
 I will now hand over to Garth to take you through the details of our financial performance. 
Garth Jones: Thanks, Yuan Siong, and good morning, everyone. Yuan Siong covered the headline figures that summarize our strong financial performance in 2020 against the backdrop of an unprecedented environment. This reflects the diversified nature and quality of our business with a focus on long-term sustainable growth, progressive profit emergence from a continuously expanding in-force book and prudent financial management. 
 Let me now take you through AIA's 2020 financial results in more detail, covering the usual areas of growth, earnings and capital and dividends. AIA benefits from our diversified regional presence and our long-established, market-leading positions. Taken together with the quality of our multichannel distribution and our comprehensive product range, this strong platform gives us great confidence for our future growth. Mainland China became the largest contributor to VONB for the first time and accounted for close to 32% of the group. Following the introduction of strict travel restrictions on Mainland Chinese visitors, Hong Kong now accounts for 18%. Our other 4 segments, predominantly covering Southeast Asia markets, made up 50% of the group's VONB in 2020. 
 We continue to focus on high-quality, traditional protection and long-term savings products, which in aggregate made up over 90% of our VONB, and the vast majority of our new business sales are in the form of regular premiums. These had significant further layers of revenue to our growing in-force renewal book of more than $30 billion. When combined with our high persistency of more than 95%, the compounding of regular premiums drive the scale and resilience of our earnings and cash flows over time. 
 Looking at our markets in more detail. These charts show the pattern of how VONB momentum has progressed from the beginning of last year. We had a strong start to 2020 with positive year-on-year growth in 5 of our 6 segments before the onset of COVID-19. In February, Mainland China and Hong Kong were the first of our markets to have movement restrictions imposed, followed by the rest of the region. As our businesses adapted and restrictions were gradually eased, we saw very strong sales momentum return. Mainland China recovered quickly and resumed its normal sales pattern in the second half in our existing geographies, whilst also growing rapidly in our new regions. 
  Our Hong Kong domestic business saw a recovery in the second part of the year, despite ongoing restrictions. However, with strict border control still in place, Mainland Chinese visitors remain absent with the resulting impact on sales and the local economy generally. Our Southeast Asian businesses bounced back from strict lockdown measures, building progressively into the later part of the year and growing VONB to move above 2019 levels. 
 The group's strong momentum has continued into the first quarter of 2021, with 15% VONB growth in the first 2 months of the year. This includes very strong growth for AIA China and has been achieved despite minimal sales to Mainland Chinese visitors in Hong Kong. VONB for the total group is shown after fully deducting the present value of unallocated head office expenses and for consolidated reserving and capital requirements. These amounted to $264 million in 2020. It also includes the 5% withholding tax that is applied to AIA China since July last year. EV operating profit was $7.2 billion, supported by continued positive operating variances of $549 million. 
 Operating profit more than offset both negative investment return variances and the reductions in our long-term economic assumptions to reflect lower interest rates, while the exchange rate movements over the year were favorable. As a result, EV equity increased by 6% to a record $69.2 billion before the payment of shareholder dividends. 
  AIA's strong track record of positive operating experience reflects the prudence in our embedded value assumptions and the quality of our in-force business.  
 Mortality and morbidity claims experience remained positive, supported by a lower incidence of noncritical medical claims during the pandemic. In aggregate, expense variances were positive with acquisition expense overruns arising from reduced volumes included in our reported VONB. Acquisition expense overruns reduced the VONB margin for the group by 2.5 percentage points compared with 2019, mostly from Hong Kong, where these lowered the VONB margin by 5 percentage points. Persistency and other variances were positive despite the pandemic. Overall, operating variances have added more than $3.2 billion to EV since our IPO. 
 AIA's EV sensitivities to both interest rates and equity market movements remain small. Our EV methodology uses spot market yields and trends over time to our long-term assumptions. The interest rate sensitivity shown here applies a 50 basis points movement from current spot government bond yields and our long-term assumptions, including equity returns and risk discount rates, our long-term assumptions and to smooth out short-term volatility in markets. We updated our assumptions, as usual, at the end of 2019, and following a significant reduction in interest rates early in the year, we further updated our long-term assumptions at the interim results.  
  Market rates at the end of the year are in line with our assumptions, and interest rates have increased further since then. EV equity of $67.2 billion is now 2.7x the level of IPO, demonstrating our track record of shareholder value creation. The main driver of EV equity growth is EV operating profit. We've generated more than $54 billion of EV operating profit through the addition of profitable new business and proactive management of our in-force portfolio. Net cumulative economic and operating variances from all sources are immaterial, clearly demonstrating the appropriateness of all our EV assumptions and our methodology over time. 
 Now moving to earnings and our IFRS results. The group's operating profit after tax increased by 5% to over $5.9 billion, driven by our growing in-force portfolio. Operating margin was stable at 16.9%, underpinned by our high-quality and recurring sources of earnings and proactive in-force management. AIA Hong Kong delivered 10% growth in OPAT to more than $2 billion, reflecting an increase in renewal premiums of 11% and favorable claims experience, which more than offset lower bond yields. AIA China continued to deliver very strong growth of 14%, reflecting our high-quality earnings and increased scale, while OPAT growth for Singapore of 8% was supported by improved operating experience. Although lapse experience improved in the second half for our Thailand business, a lower equity market during the year combined with a reduced long-term equity return assumption more than offset positive operating experience and underlying business growth. 
 In Australia, OPAT was affected primarily by a decrease in profitability from disability insurance policies, which impacted the overall results for other markets. Finally, Malaysia, where, excluding the impact of the one-off industry-wide initiative highlighted in our interim results, there was growth in OPAT of 8%. 
 Shareholders' allocated equity increased by 16% to $50 billion before the payment of dividends. The increase in allocated equity reflects our solid growth in operating profit and positive foreign exchange movements. Mark-to-market movements in equities and other nonoperating items were immaterial. After the payment of $2 billion of dividends to shareholders, allocated equity increased to $48 billion. 
 Operating profit after tax of $5.9 billion was 3.1x the figure in 2010, reflecting the increasing size of our in-force book, driven by significant new business growth. The resilience of our portfolio is the result of steady accumulation of quality business over many years. Consistently, 99% of our total weighted premium income has been recurring, and these premiums have been invested on a prudent basis in high-quality, well diversified assets. The average credit quality of our bonds has remained stable during the year at A minus, and we experienced no impairments. Our focus on quality and long-term sustainability forms the foundation of our resilient sources of earnings demonstrated by continued growth in 2020. 
 Operating profit after tax has added more than $40 billion to shareholders' allocated equity since our IPO. While movements in the market value of equities causes short-term volatility in net profit, these fluctuations have averaged out over time to just $0.3 billion. After shareholder dividend payments of more than $10 billion, shareholders' allocated equity of $48 billion at the end of 2020 it was 2.7x the level at IPO.  
  Finally, capital and dividends. Our solvency position remains very strong. The group LCSM cover ratio takes a fully consolidated view of regulatory capital adequacy for the group based on minimum requirements. In future, we'll disclose this as the principal measure of the group's regulatory solvency position. Our group LCSM cover ratio has remained resilient during the stressed capital markets of 2020 and ended the year at 374%. There are further details in the accompanying results pack, including sensitivities to equity markets and interest rates, which is small. In addition to our strong solvency position, our total leverage remains relatively low at 11.9%, demonstrating our resilient capital structure and financial flexibility. 
 Underlying free surplus generation increased by 7% to $5.8 billion, supported by continued growth of our in-force portfolio. New business investment of $1.4 billion was 2% less than the previous year as reduced new business volumes were offset by acquisition expense overruns and the product mix shift away from Hong Kong participating products. Free surplus increased by $4.1 billion before investment variances and dividend payments. Investment variances reduced free surplus by $3.5 billion, primarily from the movement in regulatory reserves caused by sharply lower government bond yields impacting our businesses in Hong Kong and Thailand. After the payment of $2 billion for shareholder dividends, closing free surplus remained strong at $13.5 billion. 
 Since IPO, our cumulative underlying free surplus generation has now exceeded $40 billion. Our primary goal is to grow new business organically, and we've reinvested over $14 billion to generate close to $25 billion of VONB. 
 We've paid dividends to our shareholders of $10.8 billion, and we've selectively taken advantage of inorganic opportunities. Including the events of 2020, which created an extreme example of capital market stress, investment variances have accumulated to a small net impact of $0.6 billion. Our stock of free surplus has increased by $8.5 billion since IPO to $13.5 billion, aligned with the growth in our balance sheet. 
 The analysis of holding company financial resources is a new disclosure that provides further insight into the financial resources directly available for the payment of shareholder dividends and interest as well as providing financial support and investments into our businesses. We've included a reconciliation between holding company financial resources and working capital in the results pack. 
 In 2020, net flows from subsidiaries to the holding company amounted to $2.4 billion. With the addition of $2.8 billion of proceeds from new borrowings and after dividend payments of $2 billion, we ended 2020 with $12.4 billion of financial resources at the holding company. 
 The Board has recommended a 7.5% increase in the final dividend to HKD 1.3 per share. This increase reflects our continuing strong business performance and our healthy financial position. The Board continues to follow AIA's established prudent, sustainable and progressive dividend policy, allowing for future growth opportunities and the financial flexibility of the group. 
 In conclusion, the group has delivered a strong financial performance through the unprecedented business and macroeconomic conditions resulting from the global pandemic. We've seen VONB recover as our businesses adapted and containment measures eased, with momentum continuing into 2021. The quality of our growing in-force book helped drive further increases in both operating profit after tax and underlying free surplus generation. EV equity increased to a record $67.2 billion, and shareholders' allocated equity grew by 16% before the payment of dividends. Our financial position is very strong, and we further increased the final dividend by 7.5%. These results reflect the quality and resilience of our businesses, our proven execution capabilities and our disciplined financial management as we continue to build sustainable value for our shareholders. 
 I'll now hand back to Yuan Siong who'll provide an update on the group's strategic priorities. 
Yuan Siong Lee: Thank you, Garth. As you will remember from August, we have a clear and ambitious strategy that will achieve our purpose of helping millions of people live healthier, longer, better lives, while delivering profitable growth and shareholder value well into the future. We will build on our significant competitive advantages, ensure that we fully leverage the powerful structural drivers of growth in Asia and capture the immense opportunities available to us. I see enormous potential to transform AIA, and that is why we have a step change in technology, digital and analytics at the heart of our new strategy.  
 Let me now show you how we are really delivering significant results across the group. Our vision is best-in-class connectivity for our agents, customers and partners allowing for rapid and seamless interactions. We know that providing a simplified service with faster turnaround times leads to better outcomes, including improved retention and profitability. 
 In the Philippines, our customers enjoy a totally new end-to-end purchasing experience that is simpler and dramatically faster. We have redesigned fully digitalized and automated the customer onboarding process. Predictive underwriting delivers better outcomes, including frictionless sales and increased conversion rates. Our proprietary AI-powered underwriting engine uses data analytics to deliver a huge increase in capacity and a supported straight-through processing of more than 75%. Customer onboarding now takes just 20 minutes, and plans to launch our new underwriting engine in the rest of the group are underway, driving enhanced scalability and efficiency. Our goal for a leading customer experience is to always exceed expectations, and this includes our promise to look for every reason to pay a claim. 
 AIA Thailand handles more than 2.5 million medical claims a year. Our new automated process delivers a seamless, paperless and cashless customer experience for outpatient claims at more than 500 hospitals and clinics. AI-powered claims adjudication has supported straight through processing rates above 70%, 4x higher than at the start of the year. Outstanding customer experience achieves a range of business benefits, including unlocking new business growth, driving higher quality sales, improving persistency and generating more products per customer. 
 Turning to our unrivaled distribution and Premier Agency. Full adoption of powerful digital tools across the entire value chain delivers material improvements in productivity, increased agent retention and ensures that our agents achieve highly attractive income. I am pleased to say that online recruitment, onboarding and training has supported growth of our agency even during the strictest lockdowns. 
 In Mainland China, AIA has the highest quality and most productive agents in the market. At the onset of the pandemic, we rapidly shifted recruitment fully online with an end-to-end digital process. Analytics, support training and development through our proprietary, smart learning and coaching. Our online role players simulates customer interactions using AI and helps our agents practice and enhance their sales skills, expanding the capacity of our agency leaders to focus on recruitment and management. This delivered over 30% increase in new recruits in Mainland China, and our online capabilities supported growth in new recruits of more than 20% for the group. We are driving a step change in the number of active agents in our developing and emerging markets. And I'm clear that we do this while continuing to raise quality through the use of technology. 
 In Malaysia, our agency is 100% digitally enabled across the entire Premier Agency value chain. Advanced data analytics and social media integration provide new customer insights and gamification reinforces professional sales techniques. Our next-gen leaders have real-time activity data at their fingertips, enabling more effective team management. Adoption of these digital tools has supported an increase of more than 20% in active agents and more than 15% in productivity levels. 
 We have long-term and leading bancassurance partnerships across Asia, providing access to many millions of potential customers. As banking preferences evolve, we offer customers more choice of how to purchase from fully online to in-person advice. 
 In India, Tata AIA Life has pioneered our use of digital and analytics tools to transform our approach to bancassurance, and we are industrializing these across the group. Our propensity models use customer data from banking transactions, demographics and digital footprints. We then adopted a data-driven, highly digitalized approach across the entire sales process, including 2-click offer acceptances and prefilled applications, resulting in an end-to-end customer journey of just 18 minutes. 
 We grew new business sales from our domestic bank partners in India by more than 30% during the most severe lockdown across our markets, with over 60% of new policies purchased digitally. Digital platforms bring new models and new growth. We are connected to an expanding network of the best partners with hundreds of millions of highly engaged and active users. AIA's significant competitive advantages and deep experience in Asia makes us a highly attractive partner. Importantly, the strength of our multichannel distribution offers customers more choice of how to purchase from fully online to face-to-face advice and increases conversion rates to maximize value creation.  
 We build our partnerships on shared value principles, developing innovative propositions that are relevant and personalized. An agile approach enables faster iteration cycles when delivering compelling solutions, as we test and learn before industrializing across other markets. For example, in South Korea, we brought together SK, Samsung and AIA Vitality to launch a new joint proposition targeting a combined customer base of 40 million. In December, we announced a new regional digital technology partnership with ZhongAn Tech, enabling seamless connection to new and existing digital partners. We have already launched our first products with Shopee in Malaysia. In India, we are the exclusive life insurance provider to Practo's 175 million users. Our partnership also provides customers with preferred access to Practo's leading digital health care platform, adding new capabilities to our health and wellness ecosystem. 
 Our protection strategy is focused on next-generation life and health products, fully integrated with our health and wellness ecosystem, which is anchored on 4 fundamental components. Through AIA Vitality, we deliver shared value for our communities, lower cost of insurance and improved health outcomes. Our highly engaged customers generate impressive health improvements as they average more than 800,000 workouts a day, and we achieved significantly higher persistency and repeat sales. AIA Vitality is fully embedded in our insurance products, and we have generated more than $1.2 billion of VONB from integrated sales in the last 3 years. 
 Our wellness programs are in 11 markets. And in 2020, we significantly enhanced services, including support for mental well-being, nutrition and maintaining physical activity levels. We have ambitious targets for expanding AIA Vitality coverage and further increasing member engagement. The pandemic has driven a surge in telemedicine usage with online doctor consultations through Practo growing by more than 10x between April and November 2020. We plan to expand our telemedicine services from 6 to 12 markets in 2021. 
 As a pan-Asian health insurer, we have a vast regional health care provider network. AIA's Regional Health Passport brings customers choice of treatment across our network of leading international hospitals. Our personal case management services in 8 markets ensures AIA customers have access to the best diagnostic and treatment consultation. We have launched innovative propositions integrated with AIA's health and wellness ecosystem across several markets. 
 In Hong Kong, our next-generation product completely reimagines critical illness cover, removing the need for complex medical definitions and making it easy for customers to understand. Instead of a fixed sum assured, benefits are based on disease severity and treatment, giving customers peace of mind. 
 Our new modular protection product in Mainland China leads the market and allows customers to tailor coverage to their specific needs. Our premier agents guide customers to their ideal product from thousands of possible coverage combinations supported by powerful data analytics and in-depth customer research. In addition to better meeting customer needs, this further differentiates our Premier Agency model in the market. We will continue to integrate our ecosystem of best-in-class providers into our propositions across our markets, making them increasingly difficult to replicate.  
  Our financial discipline remains a core priority and the foundation of AIA's strong and consistent delivery. The execution of our new strategy will extend our track record of superior profitable growth, driving strong earnings, free surplus generation and prudent, sustainable and progressive dividends. We continue to see significant opportunities to reinvest capital and deliver organic growth at attractive returns for shareholders. 
 In summary, AIA operates in the most attractive markets in the world for life and health insurance. We remain 100% focused on Asia with substantial growth opportunities in all of our markets. In Mainland China, our new potential target market is 4x our current footprint, and we have a proven track record of expansion. Our strategy is clear and ambitious with a step change in technology, digital and analytics at the heart of our transformation. We have delivered another strong performance in 2020 with VONB momentum continuing into 2021. We are confident that we will continue to deliver significant growth and shape a more sustainable future for our communities, while delivering long-term shareholder values. 
 Thank you very much for listening. 
Lance Montague Burbidge: We'll now move to the Q&A session and this will be conducted by teleconference. If you wish to ask a question, you need to make sure that you're dialed in. I'm Lance Burbidge, Chief Investor Relations Officer for AIA Group. Together with me today, we obviously have Yuan Siong and Garth. We also have our regional chief executives and other members of our Group Executive Committee. So we are read to take your questions. So operator, please start the Q&A. 
Operator: [Operator Instructions] Our first question today comes from Charles Zhou from Crédit Suisse. 
Charles Zhou: So I have 3 questions. The first one is related to China. So we know that you mentioned that in the first 2 months, China had very strong growth in terms of the value of business, which we also see a similar trend of your peers. So can I ask you about the full year growth outlook for AIA China, particularly in the second, third and fourth quarter for your protection sales? So do you expect the similar momentum to continue in the rest of the year? Or do you expect some moderation in the rest of the year? So this is the first question regarding your AIA China outlook this year. 
 The second question is about the agent in Hong Kong. In terms of the agent income, they're -- how much they can earn and also the agency retention? Because we know that last year, the border has been closed. So for your agents, particularly for the Mainland Chinese-focused agents, so can you maybe provide us some data about like how much their income has declined year-on-year? Is that maybe 60%, 70%? Or can you give us some color on that? The reason why I'm asking this is because I think everyone is waiting for the reopening. But I just don't know whether the agent can still survive as last year, their income has already declined a lot. For this year, if the border continues to be closed, can you still retain your very experienced the Mainland Chinese-focused agents? So that's my second question, agency income and also agency retention in Hong Kong. 
 My third question, I know that you mentioned that every 50 bps increase in yield will lead to around 1% increase in EV. Can you talk about the implication of the rising yield to your shareholder equity, EV and also your sales? Particularly in the first half of last year, you revised down your -- some of your economic assumptions in EV. So if the yield continues to go up, say, to further, will you also consider to revise your assumption again in the first half of this year? 
Yuan Siong Lee: Okay. I will take the first 2 questions and then Garth will take the third question. And I think Jacky can supplement on the Hong Kong agents question. I think we are very happy to see very strong VONB momentum across the group in 2020 and post lockdown in the various markets. And this momentum has continued into the first 2 months of the year, especially with very strong growth from AIA China. The VONB growth in the first 2 months is broad-based, and we -- is very broad-based. And the VONB that we reported in 2021 is stated net of the 5% withholding tax that now applies to AIA China. 
 Now we know that there's a -- we operate in 18 markets, and each market has different seasonality. We also know that China, there is a jump-start, and the new business is more weighted towards the first half of the year. Now we saw strong sales in protection products in January and partly that is driven by the change in the repricing -- the change in the critical illness products in China. But we see that the activity is coming back very strongly in China. And we remain -- China continues to be our focus, and we are very -- we have a very unique opportunity, very well positioned in China, and we are the only -- currently, the only 100% owned life insurance -- foreign life insurance country -- company in Mainland China. 
 Now on Hong Kong, as you can see from Garth's presentation, we have a very diversified portfolio of business. Hong Kong contributed to 18% of the VONB in 2020, China contributed 32%, and the rest of Asia contributed 50% of our VONB. And we believe that we have tremendous opportunities for growth in all of our markets. Hong Kong, obviously, was impacted by the border restrictions. Thereby, the Mainland Chinese visitors could not come across to China, but from what we have seen in Macau, when the borders are open, the Mainland Chinese visitors are coming back to Macau. And the contribution of MCV business to Macau in the fourth quarter of last year is already back to the pre -- back to normal, I would say. So we are -- whilst I cannot forecast when the border will reopen between Hong Kong and the Mainland, I still believe that the -- our products in Hong Kong remain attractive to Mainland Chinese visitors. 
 Jacky can talk about the activity -- the resumption of activity of our agency force in Hong Kong. 
Jacky Chan: Thank you, Yuan Siong. I want to begin by saying that I'm proud of the Premium Agency force here in Hong Kong and Macau. They are really resilient. And as you said, the close of the border really impacted those agents who focus on MCV business. Yes, the income will be impacted. But AIA Hong Kong, Macau provide a lot of support to our agency in Hong Kong and Macau. And one of the most important thing is to help and train them to our focus on the domestic market. And in fact, we also stepped up our recruitment a lot. And last year, our premier agent, new agent recruit increased by 22% compared to the year before. And as a result, the overall agents number and agents retention are almost the same as the year before. We do have some modest growth in the total agency force at the end of last year. 
 I want to emphasize that in fact, in the second half of last year, we do see a double-digit growth in our domestic business, which contribute by both the agents, who previously -- or usually focus on domestic market plus both MCV agents, who are able to sell more to the domestic segment. I want to draw your attention to an important figure, which also show the agents retention and resilience.  
 The AIA Hong Kong and Macau delivered ANP of USD 1.1 billion. And within it, USD 900 million is coming from agency, and this number far exceeds any other major competitors in Hong Kong with agency channel as the core distribution channel. And I believe this shows that how resilient our agency force is, and we are well positioned to capture the opportunity we have in the Hong Kong business. 
William Lisle: Thanks, Jacky. I may just add a broader view of our agency across Asia. Obviously, Hong Kong is, as Jacky said, we dominate the domestic segment in Hong Kong. We -- just from a retention perspective, our Premier Agency strategy has been a key strategic differentiator for us for the last 10, 11 years and continues to do so. And it's based, it's premised on quality recruitment. As Jacky said, we've seen strong recruitment in Hong Kong, the second half. Across the group, we've seen 20% -- an increase of 20% recruitment second half over first half. 
 But by basing our Premier Agency strategy on strong recruitment, quality recruitment, we see strong persistency, as Garth mentioned in his presentation, 95%, and that allows us to pay the appropriate renewal commissions for our agents who are bringing in quality business. And over the last 1 or 2 years, we've been able to reinforce that platform and proposition for Premier Agency by rolling out a significant number of digital tools, from sales tools to recruitment, to training, to onboarding. And this has resulted in over 20,000 online recruitment seminars. It gives us remote sales capability across every one of our markets and across every channel to note. And that's actually delivered double-digit productivity gains for our agency in the second half of the year. And we see 95% of all of our sales being brought in digitally for 2020. I think that sets us up well for the opportunities in 2021. 
Garth Jones: Thanks, Bill. On interest rates, higher interest rates are generally positive for us as they are for most financial companies, although they still remain at low levels relative to history. And I think, for example, the 10-year treasury is still below the end of 2019 level as of today. If that increase is sustained, we could see a partial unwind of some of the impacts we saw in 2020. And so for example, free surplus will have benefited from the significant increase in government bond yields since the end of 2020. 
 We look at our assumptions on a regular basis, as you know. Our EV assumptions are for the long term. We manage our business for the long term, and our EV methodology and assumptions reflect that. We use spot market yields that trend over time to long-term rates that reference forward market -- market forward rates. And you can see that at the end of 2020, as I showed in the presentation, our rates are in line with forward rates. Clearly, interest rates have moved up from then, but we are only a few months into the year, and we'll continue to review our assumptions as each reporting period as we always do. I think the most important thing to remember is that the interest rate sensitivities we've given on a consistent basis, both on the EV and on the group LCSM basis are both very small. 
Operator: Your next question comes from Thomas Wang from Goldman Sachs. 
Thomas Wang: A couple of questions from me. Firstly, I think it's great to see all those new products innovations. I just want to understand from a financial reporting perspective, how this new product compared to the existing products in terms of, say, IRR or VONB margins, so how should we see that? So as -- I think that's the direction to go that the product will be more flexible, but how does that impact the way we report our numbers? 
 And then secondly, just on the capital and dividend front. Now we have LCSM, and then I guess, the next hurdle is RBC for you to have a better understanding of capital and dividend position. Just a little bit of color on that, if possible? How is that -- are you seeing that development of RBC? And when do you expect to have more sort of clarity on that or implementation? 
Garth Jones: Yes. On the margin question, obviously, we don't want to go into margins by product and by country. We'll be here for the rest of the day. But I can say that the margins remain healthy. And clearly, we look to provide a good balance between providing strong benefits to our customers, while -- and attractive products to our customers, good returns for our customers, also providing good returns to our shareholders. 
 Second question, sorry --  sorry, I missed the question. 
Thomas Wang: Second question on capital. A little bit more color on LCSM and RBC in Hong Kong. And maybe how that will potentially impact your dividend and capital strategies. 
Garth Jones: Right, right. Yes. I think on the -- let me talk about the group LCSM first. That's the new framework that the IA is introducing as part of the group-wide supervisory framework that we expect to be subject to in the first half of the year, although we haven't been designated as being covered by that as yet. It's a comprehensive solvency ratio that covers the whole group. You'll recall that previously, we used the AIA Co. solvency measure. That is a measure that measures the solvency of AIA Co., which used to be the highest and currently is the highest regulated entity within the group. 
 But as we have the new group-wide supervisory framework coming in, then the whole of the group will be included, including the group holding company. With that, the basis for the group LCSM is one whereby the minimum capital requirements across the group for each of the entities is compared with the available capital across all the entities. And you'll see that our ratio was very strong at 374%.  
 We have also provided a reconciliation in the appendix between the group LCSM and our free surplus. And the free surplus represents the capital that is more representative and is contained in our EV report and is more representative of the capital position from a shareholder perspective. In future, we will disclose that as our principal measure. 
 On the Hong Kong RBC, the Hong Kong RBC is progressing well. We welcome its introduction as a risk-based framework. The Hong Kong RBC rules are still being developed by the Hong Kong IA. There've been quantitative impact studies in the past. And just recently, the IA called for a further impact study. Based on our current understanding of the RBC framework, we expect the group's capital position to remain very strong with both the total available capital and the minimum required capital likely to increase for our largest business. 
 We don't have clarity on those 2 aspects. We don't have clarity around some aspects of the group-wide supervisory framework, notably the treatment of our existing senior debt. And we don't have clarity yet as to the final RBC framework. It is due for introduction in 2024, although there has been some discussion about early adoption. So once we have greater resolution on both those projects, and we have greater clarity as to the basis for the group LCSM and for the Hong Kong RBC and so on, then we expect to have significantly more clarity on the group's capital position and our needs going forward. But as you can see, we have a very strong capital position, clearly. 
Operator: Your next question comes from Leon Qi from Daiwa. 
Leon Qi: This is Leon from Daiwa. Congratulations on resilient results. I have 3 questions today. Firstly, on digitization. I've noticed that compared with some of your Chinese peers, it looks like AIA prefers to do a partnership model with external vendors and technology companies to digitize its operation rather than internally make a lot of R&D. Just want to understand if management has any comments on that. And as a question related is that since AIA is teaming up with some emerging vendors such as ZhongAn Tech compared with more established players, do we have any preference in terms of choosing our partners? And then the -- so that's the first question. 
 Second question was still on digitization. I understand that our digital completion rate is very high now, probably over 90% for most of the markets. But I just want to understand that in terms of digitally enabled end-to-end completion for -- I mean including customer acquisition, engagement, et cetera, to the ultimate completion, do we have such statistics, in particular, on China? And do we have any statistics on the VONB contribution from digitally enabled sales instead of the ANP contribution that we already mentioned? 
 Lastly, on the financial position, appreciate the new disclosure on holding company financial resources. I understand that previously, our dividend payout is linked to OPAT. Just want to confirm if there's any changes on that. How do we -- how should we understand the linkage between holding company financial resources and dividend payout? 
Yuan Siong Lee: As I introduced during my presentation back in August and also during my presentation today, I see that a step change in technology, digital and analytics is a very key -- central to our new strategy, and we have very detailed and 3-year plan of very targeted investments to upgrade our technology architecture, to improve our digital tools and to use data analytics in all aspects of our business. And over the few months that we've been implementing this, I'm very pleased so far with the progress. I have introduced some of the results -- some of the early results, and I expect in 2021 that we will accelerate this implementation of TDA even more. 
 As you have noted, we have our -- also our internal development technology engineers. We have a large IT workforce in China in our -- what you call our TSS unit that's supporting our business units across China and across Asia. And at the same time, we also believe that to partner with the best-in-class service providers, of which there are many, we've quoted ZhongAn Tech, but this is not the only technology company that we have a strong relationship and partners -- that we are partnering with. In addition to service providers in China, we also partner with service providers in India, in Southeast Asia and also the more established names, international names. So we believe that this is the best way to bring in -- to upgrade our technology architecture and to help us implement our TDA strategy. That's the first question. 
 On the second, I think we have upgraded, and we have aggressively moved a lot of our business processes online, and we have digitalized the full end-to-end value chain of our -- of the -- of our Premier Agency value chain. We illustrated -- I illustrated an example of -- in Malaysia and also in China. And also -- and we also showed an example of how we can apply digital tools to help our Philippines and our Thailand operations. 
 So I'll hand over to -- pass on to Bill to talk more about the digitalization of our agency channel and our partnership channel. 
William Lisle: Thank you, Yuan Siong, and thanks for the question, Leon. Again, I'll just reiterate some of the data points I mentioned a little earlier at a group level because that was a question within the question around China and the group. We've taken this opportunity through COVID and obviously, as part of our new strategic ambition to really accelerate the digitization across our distribution. That's the whole customer journey of learn, buy, sales, service and claim. And hence, the tools that we put in place have resulted in a number of key data points. 
 So as I mentioned earlier, we've had 20,000 online recruitment seminars across the group. That's given us more than a 20% increase in new recruits, again across the group and a 30% increase in new agency leaders, with 95% of all of our sales coming in digitally for last year. And to note, at the height of the pandemic, 40% of all of our cases were brought in digitally at that time. This has been able to drive up the agent productivity and activity in the second half of the year. And China has been leading the way on this. China, obviously, was impacted in Q1, but it rapidly deployed the similar digital tools and 40% of its new business sales by the end of June were delivered through the Air Sign technology. 
 And actually, in China, we've seen even bigger recruitment with online recruitment seminars delivering over 30% growth in new recruits. And I emphasize that while maintaining very stringent quality recruitment standards. Over 50% of our new recruits hold a bachelor's degree or above in China, and that's equivalent to where we saw it in the 2019 results. All of this has driven double-digit growth across our agency leaders and again, agent productivity and activity in the second half of the year and positions us well for the future. So even though we've seen face-to-face meetings resume post the easing of lockdown. We now have optionality for our distribution channels, in particular our agencies to connect, engage remotely or by face-to-face. 
 On your STP question, one of the slides that Yuan Siong shared with you, we now have 47% of all of our cases coming in end-to-end straight through processing from the engagement, to the onboarding, the sales, service, et cetera. So 47% of our sales are straight through process. 
Garth Jones: Thanks. And on the dividend, not only OPAT, but we look at a broad dashboard of metrics when we're framing the dividend. Those include the future growth, the free surplus generation, holding company resources, solvency and so on. I think the key thing is that we review all the options, while maintaining our financial discipline to create long-term sustainable value for our shareholders. Our objective is to maintain a prudent balance sheet and use the resources we have to fund long-term profitable growth opportunities, maintaining financial flexibility and the sustainability of the future dividends. 
 So we continue to see significant opportunities to reinvest capital to deliver organic growth, and you can see that we continue to invest at attractive returns for shareholders. And we run various scenarios around that. The Board is continuing to follow its prudent, sustainable and progressive dividend policy. You've seen recommended further 7.5% increase in the final dividend. And if you look now, the dividends in 2020 are more than 4x the dividends in 2011. We've paid close to $11 billion of dividends since IPO. But our  primary objective will always be to continue to grow the business and to do so organically. 
Operator: Your next question comes from Kailesh Mistry from HSBC. 
Kailesh Mistry: I've got a few questions. Firstly, on the Hong Kong new business margin. Could you just help me on this one? Obviously, the margin is down in the second half. Some of this is driven by the assumption change at the half year. So can you just help me understand how much is due to the assumption change? And how much is for this product promotion to support agents in the second half? And in particular, on the latter, will that continue into 2021? 
 The second question is around agency numbers, either total agent numbers or active agents. How did that change in, number one Mainland China and number two in Hong Kong in 2020? Because I think you talked only about agency or new recruits, which obviously doesn't necessarily help with that number. 
 The third question is with respect to Slide 6 and 13, they are helpful, but I just wanted to understand, when restrictions have been lifted in markets, what are you experiencing? Are product and margin trends reverting back to long-term trends? And in the volume recovery, are you seeing catch-up versus normalized growth? Or is it the lockdown period is basically using sales in that period effectively? 
 And one last quick one. Just the LCSM ratio. Does the 374% decrease debt? If not, what do you think the impact of grandfathering that debt would be? 
Yuan Siong Lee: Okay. Garth, you want to take the Hong Kong margin issue? 
Garth Jones: Yes, sure. Thanks, Yuan Siong. Yes. I think we covered the Hong Kong margin to some extent at the half year. But if you look at the second year -- second half of the year, you're quite rightly, Kailesh, noted the increase in the risk margin, 30 basis points increase in the risk margin. And I think that reflected the lower interest rate environment. And you saw the changes that we made in the interest rate assumptions and the resulting equity returns also. 
 I think the other thing to point out is the impact of the acquisition expense overruns. They took the margin down in Hong Kong by 5 percentage points for the full year with the absence of the MCV business. We do see a product mix shift in the second year as we launch some products to support the agency activity and including some of the agency who've been traditionally focused on the MCV segment, of course, and that business also has a lower product size -- lower ticket size as well compared with the -- some of the other business, particularly the Mainland Chinese business. 
Yuan Siong Lee: Yes. Jacky, do you want to supplement? 
Jacky Chan: Yes. I would just supplement that we've had the -- because of our stop of financial discipline, we do price in all this expense overrun and also take a more prudent approach to increase the risk premium on Hong Kong product. So that's why it drags down the margin. But as I said previously, our ANP in Hong Kong in 2020 really show the underlying resilient momentum of the distribution channel. So I think it is still very healthy and strong during that unprecedented time of 2020. 
William Lisle: Yes, thanks, Kailesh, for the question. On the China, Hong Kong total agency force, we normally don't disclose the total agency numbers. What I can share with you that we saw strong growth in absolute number of agents year-on-year in both China and Hong Kong. And again, that demonstrates the strength of our Premier Agency strategy and proposition and combined with the technology rollout positions us well for 2021. 
Yuan Siong Lee: I would like to add that in China, we have the most productive agents in the market, and our agents in China, actually, in terms of income is much higher than what is achieved by our competitors in the market. 
Garth Jones: And on the group LCSM, yes, we -- you'll recall that in September, we had a very successful debt issue. It was our first subordinated debt issue, an innovative 20-year structure that was very well received by the market. That has been included. We agree with the HKIA that, that could be included in the 2020 number. 
 As for the other borrowings we have, they haven't been included in that group LCSM number. We obviously have been in discussions with the IA on grandfathering our existing debt, but the exact form and amount of that, any grandfathering is yet to be concluded, Kailesh.. 
Kailesh Mistry: Okay. And the other question around the trends you're experiencing as restrictions have eased around products margins, whether it's long term -- back to long-term trend, and whether you're getting a lot of catch-up demand in recovering as well. 
Yuan Siong Lee: Yes. I think what our research has shown us is that through the period of the pandemic, the consumers have become much more concerned about health and wellness. And so we've seen a really significant uptick in internet searches on health, wellness and insurance and our agency force has also given us a very clear feedback that it is now much easier to enter in the conversation with customers about protection, about selling insurance. So we believe that this will actually drive an increased focus of selling protection products across our markets. Stu, you'd like to add? 
Stuart Anthony Spencer: Thanks, Kailesh. If anything, the pandemic has taught us and our consumers how fundamentally underprotected they really are. So our compelling proposition strategy really does hinge on designing propositions that are fundamentally differentiated, but customer-led, I mean highly personalized that hinge also on shared value insurance integration, so that we achieve better health outcomes and that these products are incorporated into the larger health and wellness ecosystem that Yuan Siong referred to. And we believe that this enables the customer to sort of be able to be serviced along the predict, prevent, diagnose, treat and recover ecosystem. So personalization, customization, incorporation with shared value, providing a holistic halo of sustainable protection for our customers. 
Garth Jones: Yes. If I can add to that, Kailesh. I think one thing we have seen in the second half is that in China, Thailand as well as Malaysia and Singapore, we have seen the product mix move towards longer-term protection products, medical riders, and that's been obviously beneficial. 
Operator: Your next question comes from Jenny Jiang from Morgan Stanley. 
Jenny Jiang: Thanks management for all the case study on the technology. I think that's very interesting. I have 2 probably questions on long-term strategy. One is, of course, on China. I think everyone, analysts or investors are trying to probably put China into our cash flows. So we appreciate if management can give us a little bit more color on what's going on, on the ground for those branch office expansion. So for example, for Tianjin and Shijiazhuang, I think we set up the operation probably 1.5 or 2 years ago. Can you give us a little bit more details regarding the pace of sales ramp-up there, the scale there? So that's the first part. 
 The second one is, at the interim results last year, one big strategy we laid out was to probably step up a little bit in the long-term savings business. And we were saying that we might pursue a strategy to create a global fund platform. I think that's very, very important strategy. It was a little bit under, probably, represented in this market because we focus on margin and protection segments. And given this new talk about potential capital account opening in GBA area, we're also interested in knowing that what we have done on this strategy and what we will prepare ourselves to capture more of the wealth management opportunities in the GBA area? 
Yuan Siong Lee: I think on China, obviously, it is a very important part of our business. It contributes to 32%. It's the largest contributor to VONB now and is growing according to plan. We have a very unique Mainland China opportunity, as I have emphasized time and again, that we are the first foreign company with a 100% owned life insurance subsidiary. Our model is very differentiated Premier Agency model. And we have a proven track record of expansion. 
 The -- I have laid out our plans on geographical expansion. And I can say that we are on track. We have received in principle approval to launch a branch in Sichuan province in November. And November to now is just a matter of 4-plus months, during which there was Lunar New Year and a lot of holidays as well. But I think we are quite well progressed. The local inspection team from CBIRC has come in to do the inspection, and we are waiting for final approval. Once we can get our approval, we can start to apply for subsequent license. So this is progressing according to plan. 
 I think you asked about Tianjin and Shijiazhuang. We shared with you the -- in August that whenever we enter into a new territory, we want to really build up a very strong foundation first, recruit and train the first group of high-quality agents and agency leaders. And as we shared with you in our presentation, we -- the group in agency force, the group in the -- the quality of the agency force is actually strong. But I also want to highlight to you -- that although Tianjin and Shijiazhuang was open more than 1.5 years ago, during this time, we actually did go through an unprecedented pandemic as well. So I think we are quite happy with the progress of our operations and our geographical expansion in China. 
 On the long-term platform, I think I will ask Mark Konyn, our Chief Investment Officer, to explain to you what we have been doing and our achievements to date. 
Mark Konyn: Thanks, Yuan Siong. Maybe I can just add on the long-term savings initiative. We launched our fund platform, which is a Luxembourg platform back in July last year. The intention was initially to pilot in Singapore, setting some near-term targets. It's an open architecture platform. And by that, we mean that we have access to what we consider to be the world's best fund managers, and we have rigorous institutional oversight, both in selecting those managers and monitoring those managers as they perform through time. We're pleased to say that the performance has exceeded expectations. So we're very happy with the performance of our underlying managers. 
 We've hit our targets in terms of the pilots in Singapore, and we've since subsequently launched in 4 other markets. So very much the fund platform is in flight. We're learning as we go forward. The key emphasis really is in long-term outcomes because I think, as we all know, in many parts of the world, including this part of the world, often individual savers have difficulty in allocating their long-term savings to long-term investments and tend to focus on short-term themes. The emphasis of this platform really is to bring institutional rigor to the selection of the strategies and the managers themselves and to focus on long-term outcomes. So, so far, we've learned a lot in terms of working with our agents. 
 We're now moving forward and working with our partnership distributors, and we have something there, which we'll launch very soon this year. So we will further learn in terms of how we reach out into other areas of the distribution. But so far, so good. We're very pleased with both the performance of the underlying managers and the traction that we're gaining in the markets. 
Yuan Siong Lee: Yes. On GBA, I'll start, and then I'll hand over to Jacky, and Jacky actually looks after Mainland China and Hong Kong, so he's actually in charge of both markets. And this way, he can actually bring together both business units in a concerted and coordinated effort to expand in GBA. I think GBA offers compelling opportunities, large population, very wealthy, low penetration. And AIA is very uniquely positioned because we have 100% operations in Hong Kong, in Macau and in all the cities of -- within the Greater Bay Area. So we are actually very excited about this opportunity. Obviously, it's something that will take time to -- it's a long-term strategy of the government to support the growth of the GBA. So -- but we believe we are very well positioned. 
Jacky Chan: Yes. Thank you, Yuan Siong. We are very excited about the opportunities in the GBA area. And as Yuan Siong mentioned, we are 100% owned in both Hong Kong, Macau and also in Guangdong province. This gives us a very unique opportunity to leverage all the opportunity we could have. And I also need to -- and also, I want to remind you that AIA China is top 3 in the Guangdong province. So with our strength in the GBA area, we should be able to leverage all this opportunity. And we actively work and coordinate with regulators in both sides, Mainland China and also Hong Kong and Macau. And we look forward to the implementation of both more -- front-running ideas, including service centers, which will provide a better service for our customers across the GBA area and also potentially facilitating claims payment, et cetera. So we are very excited on this development, and we actively participate in this. 
Operator: Your next question comes from Michael Chang from CGS-CIMB. 
Poyung Chang: I've got 3 questions. Firstly, on the Macau numbers, the sales to the Mainland Chinese is -- you said that it contributed to 1/3 of ANP in the fourth quarter when the border opened up. I think [Technical Difficulty] is expected normal. Can I just ask what's the read across for Hong Kong? So once the border opens up between Hong Kong and China, is there any reason why we should not expect the mix of MCV for Hong Kong to revert back to normal within 1 to 2 quarters? Or is there anything unique about Macau that saw the MCV mix rebound so quickly? So just trying to understand what has driven that? Is it agents? Or is it the broker or financial adviser channel over there? 
 Secondly, maybe to either Mr. Yuan Siong or Hak Leh in Singapore. What -- if I take a look at Slide 13 of the presentation, what is China doing -- it's not as successful as say, Singapore and Malaysia, in terms of the recovery of the VONB, and that's despite China coming out of the COVID lockdowns earlier and despite China being a world leader in terms of internet commerce for mobile and internet. So what -- why is China recovering at a slower pace? 
 Maybe just one last question just very quickly. The OECD tax policy, the BEPS, that's the base erosion and corporate shifting. I think it was mentioned in the financial statements that, that could actually increase AIA's effective tax rate. Maybe you could perhaps share some details about how that could impact. 
Yuan Siong Lee: I'll let Jacky talk about Macau, Hong Kong and MCV business. 
Jacky Chan: Yes. Thank you for the question. Again, as I said, I'm really proud of the agency force in both Hong Kong and Macau. So as the Macau COVID-19 situation is more contained, the border between Macau and Mainland China was reopened since September last year. And you can see that the MCV business to come back to Macau. And we don't see any significant difference in terms of product mixing, et cetera. So almost the similar kind of product sold to MCV before sold to this MCV visitor after the border reopened, and this mainly come from our agency force. So Macau is [indiscernible] the agency force.  
 So -- and I also want to draw this attention to you. In fact, our Macau ANP also is very, very strong. Actually, it hasn't dropped compared to last year. It has a small slight drop over last year, too. So I cannot predict when the border between Hong Kong and Mainland China will be open. But as you see, Hong Kong, Macau and Mainland China are so close to each other, and Macau did have the border reopen after COVID-19 situation is more contained. So we expect similar will also happen for Hong Kong when the situation is more contained. 
 And I also don't want to forecast or predict, but I also want to draw your attention to the Macau experience, the MCV to come back. And MCV business in Hong Kong has been over a decade. There are obvious reasons for MCV customer who choose to come to Hong Kong to purchase the life insurance product here. So I really believe that when the border reopens, we will also see the MCV business coming back to Hong Kong. 
Yuan Siong Lee: On your second question, I think we operate in 18 markets, and each market has its own different seasonality. So I don't think it's useful to compare Mainland China and Singapore's recovery pattern. But I would like to bring to your attention that Mainland China has shown very, very strong VONB growth in the first 2 months of the year versus the same period last year. And last year, January and February, especially January were strong months for Mainland China. So we are happy with the recovery in Mainland China. And there's -- as I said, it's one of our most important -- it's our most important market, and we have a unique opportunity there. We are uniquely positioned in China, and we remain very optimistic about the growth in China. 
Garth Jones: Yes. On the OECD developments, my tax head will be very happy that you asked about this. This is the BEPS 2.0 it's known as, which has 2 pillars. The first pillar is aimed at modifying the international tax system. That's in respect of consumer businesses and automated digital services, which is about taxable presence and if sales in one jurisdiction attract tax in another and so on. A carve-out from that pillar is being proposed in respect to financial services. 
 The second pillar focuses on the development of rules that seek to apply a global minimum tax rate to multinational enterprises and particularly in respect of their cross-border transactions. We're actually engaged both with the tax authorities in Hong Kong and internationally in the discussions and making representations and so on. 
 And I think we just highlighted this is a risk. It's out there for the future. It could potentially increase our tax rate. But any agreement is subject to agreement by all the jurisdictions that hasn't been achieved, or I think it's started to be discussed, but it's still a long way off. And then everybody would have to sign up to that and so on.  
  I think we highlighted, it's just the timing hasn't necessarily been firmed up, for example. It's -- I think it highlights our long-term view, and I think we just put it down as something that -- these are the sorts of things we think about -- as we think about the long-term strategy and development of the business as we have done with IFRS 17, for example, and things we are working on to shape and have our voice over it. 
Lance Montague Burbidge: We've got time for just 1 more question, operator. 
Operator: Your last question comes from M.W. Kim from JPMorgan. 
M.W. Kim: I have 2 questions on India and technology. In India, in 2020, the company delivered double-digit new business value growth. So do you have any plan to deploy more capital in India following recent, the foreign ownership limit changes? On the technology side, thank you for the sharing more details about the innovation, digitalization and technology in many of the presentation slide. So the picturing next 5 to 10 years, do you believe the digitalization or technology is to drive more cash flows or the insurance margin from the back book or to provide more the benefit in scale and then the market share gaining? 
Yuan Siong Lee: Okay. Thank you. On India, I will start and then I hand over to Bill. We are very -- I think the long-term potential of the Indian market is huge. We are very excited, and we are very fortunate to have a very -- the best in name -- the best name as our partner. And as you rightly pointed out, in 2020, we achieved significant results, very encouraging results despite India being in the most severe stage of lockdown compared to a lot of our markets. 
 The -- we also shared with you how we work with bank partners to digitalize the onboarding process and the sales to our bank channels from the whole selling process -- the whole onboarding process for new sales is less than 20 minutes. So I think obviously, we are looking at opportunities to invest more into India. And if the right opportunity comes up, we will seriously consider it. Yes, and Bill? 
William Lisle: Thanks, Yuan Siong. And thanks, M.W., for the question. Just building on Yuan Siong's point, we are excited about the opportunities in India and just the platform, the strategic drivers of growth, it's a very low insurance penetration, as you know. And again, through probably the most severe lockdown we saw across our markets, the second half of the year, China AIA grew by 22% and  the private industry declined by 11%. This was really driven by our multi-distribution strategy and a rapid deployment of remote sales tools. We now have close to 100% of our agents that have fully adopted the remote sales platform. Over 95% of our new policies were submitted digitally from June to December, and all of our agency training programs are now being managed remotely. 
 As we mentioned, we're multi-distribution. Our partnership businesses of HDFC and Central Bank of India leveraged the digital sales platform, which contributed significantly to their growth. And actually, the sales from our domestic bank partners grew by more than 30%, with over 60% of their new policies purchased digitally. I'm very pleased to say that we remained -- or maintained our #1 position in the retail protection sales. We also extended our successful bank partnership within IndusInd Bank for another 10 years. And as Yuan Siong shared with you in the slides, we now have access to Practo's 175 million unique users of their leading digital health care platform and that allows us to build out a health and wellness ecosystem already having Medix in place. So we're very excited. We're always looking to see how we deepen and broaden our footprint in India, but we do have an outstanding JV partner, as mentioned, with Tata. 
Yuan Siong Lee: Okay. On your question on technology, I'll talk about it from various angles. Firstly, I think as I explained, TDA is central to our new strategy. And we -- through this targeted program of investments, we will upgrade to a fully modern architecture and our systems to drive greater efficiency and connectivity and ease of working and also to enhance the stability and scalability of our systems and architecture.  
 We want to deliver best-in-class connectivity for our agents, our customers and partners and allow rapid and seamless transactions. And we want to deploy data analytics, so that we derive deeper and actionable insights powering our distribution operations and function. So you can see that it's across everything, not just the back office or front office, but -- not just back office or just the front office, but it's across all our operations to improve the efficiency, to improve productivity, to reduce costs. So this is one part of it. 
 The second part is we are working with a lot of digital platforms. And we believe these digital platforms bring significant growth opportunities to help us assess even more customers or -- that we may not be able to assess in our traditional models. So as we introduced, we are working with -- we've been working with SK Telecom and Samsung, we've been working with Practo, we've been working with other digital platforms in a shared value partnership to bring about new growth opportunities for AIA. 
 And then the third part is, we talk about our health and wellness ecosystem. And to bring together the health and wellness ecosystem and integrate it into our propositions, I think we are building out digital capabilities to link up all these health and wellness ecosystems, so that we can -- through our AIA Vitality, through our Regional Health Passport, our telemedicine capabilities and partnerships and our personalized case management, we can enhance the competitiveness and of our very compelling proposition. So I think I'll just talk about it from all these different angles. 
Lance Montague Burbidge: Thanks, everybody, for listening and for your questions. And obviously, if you have any follow-ups, come through to us at Investor Relations. Thanks very much.